Operator: Good morning, ladies and gentlemen. Today is Tuesday, March 18, 2014, and welcome to the Butler National Corporation Third Quarter Fiscal 2014 Financial Results Conference Call [Operator Instructions] Your call leaders for today’s call are David Drewitz, Creative Options Communications; Clark Stewart, President and CEO; and Craig Stewart, President of Aerospace Group. I will now hand the call over to Mr. David Drewitz. Mr. Drewitz, you may begin. 
David Drewitz: Thank you, and good morning, everyone. Before Mr. Stewart begins, I would like to draw your attention to, except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the Safe Harbor provisions as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National's actual results and future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise, the introduction of competing technologies by other companies, new governmental, safety, health and environmental regulations, which could require Butler to make significant capital expenditures. 
 The forward looking statements included in this conference call are only made as of this date of this call, and Butler National undertakes no obligation to publicly update such forward looking statements to reflect subsequent events or circumstances. Important factors that could cause actual results to differ materially from the expectations reflected in this forward-looking statements include, but are not limited to, factors described under the caption Risk Factors and the company's annual report on Form 10-K filed with the Securities and Exchange Commission. 
 With that completed, I would like to turn the call over to Mr. Clark Stewart. Mr. Stewart? 
Clark D. Stewart: Thank you, David. Good morning, ladies and gentlemen. We appreciate your taking your time to call in this morning to talk about Butler National business. Thank you very much. 
 First, we would like to inform you of a correction that we actually made in the cash flow statement of the 10-Q for the 9 months, and it deals with the caption cash flows from Financing Activities. What actually happened is in the software package for the translation to the SEC, the numbers were wrong in the first one and the total of $3,481,000 cash flows from financing activities. The negative number is the correct total. The lines above should have read borrowing on the promissory note, $367,000; borrowing on promissory note, long-term debt and capital lease obligations, 0; and repayment of promissory notes, long-term debt and capital lease obligations, $3,848,000. So that correction is there. And if you look at the latest 10-Q we filed yesterday -- yes, no, the day before -- yesterday, that would will show you the correct numbers. Other than that, we're not aware of any other software glitches in the translation software from the SEC. 
 So that's the first point, and I apologize for the correction, and I thank you for your patience and bearing with me on that explanation. We're excited about our backlog. That's probably the most important number in this 10-Q. In the press release, you see it's showing $10,100,000, up substantially from where it was the last quarter and the last 12 months, actually. So I think that's great. We are getting cash receipts on those orders. Those are firm orders, and they have deposits with most of them. Craig will address the details of that a little bit later. 
 Quarter 3, the 3 months ended quarter 3. We improved our profit position by $536,000. The big item in that is we have a $2.7 million cost reduction due to efficiencies and some reorganization of the staff and various other things. During the quarter, the revenue was up 2%. Aerospace was up 44% and Professional Services down 12%. Essentially, Professional Services, as you all know, is the Dodge City casino for all practical purposes. 
 The casino problems, as outlined in the press release, deal with 2 major -- really 3 major items. The economy out there is depressed a little bit because of the weather, which is not an unusual case. We've had some bad weather at the wrong time in January, New Year's and so on. 
 But the big item is our busing program, as we have reported in the last 3 quarters, has been down and basically nonexistent since the spring of 2013. And we have finally got it going again. We had all the -- everybody is signing off on the regulations. It seems to be working very well, I would say, in February for sure. We had a number of buses running 40 -- 40, 50 passengers per bus. We're running regular routes in feeder communities in Western Kansas. We're planning to expand that into Oklahoma and Texas and Colorado and Nebraska as time passes. But it's working. We run regular schedule routes, and I think that will help us a great deal. It improves the activity on the floor, which is what you have to have. People want to stay there, and that helps a lot, having more people there. So it is helping the revenue. 
 The other one is the change in the software for the IGT games. We have gotten 111 I believe it is, games approved by the KRGC at this point. And those have been -- are in the process of being replaced on the floor. That will be done by probably the end of April. And so those, the win per unit per day on those games, are substantially greater than the floor average. And we think we were way overdue on our ability to freshen the floor. So those 2 items, we figure, should improve the operations in the Professional Services segment, and we're really looking forward to getting those all online and operating. 
 For the 9 months, the sales were down, as you all know, in Boot Hill and it was stronger in 2013. Avcon was also winding down its higher level of revenue from the prior years. So that's a good sign that we're moving forward a little bit of backlog and additional sales. 
 Our shareholders' equity continues to grow, as you can see, up to about $22.8 million. That's primarily due to the major reduction -- we're very aggressive with our debt reduction and aggressive on the write-off of the assets. And so the debt reduction is a little faster. But basically, we'll continue to add to the shareholders' equity. 
 Let's see. The Bally case is the other item. We had a press release on that. And the Bally case was initiated by Boot Hill. And essentially, we told the jury that we wanted our money back for the Bally software that was called the slot management system and the casino marketplace software that we operated for 33 months and were unsuccessful in getting it to meet the defined objectives when we bought the software. And so the jury was generous enough to award part of our expenditure back. As we have reported earlier, we spent $2 million to replace that with the Konami software. So we're just trying to get back the cash somewhere close to even. So some of that -- when we ever collect it -- remember that Bally can appeal the case and who knows what happens on the appeal. But we do have a jury in the Federal District Court said that we should have $1,423,000 come back to us and we didn't owe Bally any more money. 
 So I think that was a good sign. Craig, do you want to expand a little on the Aerospace? That's probably the best thing to do. 
Craig D. Stewart: Yes. The Aerospace business, really, the numbers that you're looking at were generated from the middle of December through the end of January, which was about 6- to 7-week period, about half of the quarter. We went from being very slow at the being of December to right now we are at capacity, looking to add additional workforce. And the schedule is booked out through the middle of summer looking into early fall. So we're very encouraged by the results at Avcon and the modification business at this point. We are making changes as well, continuing to make changes in our Tempe operation. We are -- the operational ability and our ability to get product out the door is improving. The business continues to be pretty strong in Tempe as well. So we're very encouraged as we go on to third -- or I guess we're in the fourth quarter now. 
Clark D. Stewart: Fourth quarter. 
Craig D. Stewart: So we're very encouraged as to where things stand and where the outlook is moving forward. 
Clark D. Stewart: Thank you, Craig. David, I don't have any other comments at this time. I think it's appropriate that we take questions. 
David Drewitz: Well, let's turn the conference call over to questions. Moderator? 
Operator: [Operator Instructions] Our first question comes from Timothy McMillan [ph]. 
Unknown Analyst: I have several questions, Clark and Craig. On the busing program, roughly how much will that add to the revenue as a percent from where we've been without it, would you feel? 
Clark D. Stewart: That's a good question, Tim. Thank you for joining the call this morning. And I appreciate that question. We believe that we're operating in the $38 million to $42 million revenue range out there in Dodge City. We believe our only serious way of increasing that above the $40 million to $42 million is the busing program because we have to bring people in outside of the local trade area, which is, of course, the whole basis of the casino in Dodge City in the first place. We are doing that, and our bus program now is still bringing in people from 100 miles, 120 miles away. We need to be in a position where we're drawing them 200 from the Texas Panhandle all the way to the Nebraska Panhandle and everything east of the Rockies in Colorado. So I think we should expect some real improved revenue. It's a little bit too soon. We don't have the routes established to really know what we're going to get. The win per patron is up compared to the floor average for the busing patrons. So I think that's good. We're not losing money during the busing, and as that occurs, we will improve it. But as to give you a real number, I can't, but I can tell you it's the basis for the growth. 
Unknown Analyst: Any more action or development or potential on the 400 acres that you've had, Clark? 
Clark D. Stewart: Not at this point. We're very much trying to get a development agreement signed by the city, and we have been unsuccessful for -- on that objective, let's say, for sometime now. I think at some point, that will occur, and we will get some development. But our biggest need out there is for more hotel rooms as the busing program begins to operate, which will probably be a year from now or so before we really get into that position. So we will have to do something at that point. It is moving some. 
Unknown Analyst: I see. And Avionics in Tempe, are there some large orders out there potentially that you're looking at? Or are you just hoping to increase that by small increments? Or is there anything out there that can really change the face of that situation? 
Craig D. Stewart: I think it's kind of both of those things, Tim. We're looking to get better from an efficiency standpoint of what we're doing on the smaller orders and our base business. There are opportunities that are out there that we're looking at. We brought on a couple of people and Bobby Winager [ph] and Dave Alderman that have some experience going after larger contracts that will affect both Avcon and the Tempe operation. So we're encouraged on both fronts. I think that there are opportunities out there for larger contracts that are -- that will stabilize things for the longer-term. But I think right now, we're also doing a really good job of improving the smaller stuff. 
Unknown Analyst: You're fully booked until early fall, you're saying, on your backlog and so forth... 
Craig D. Stewart: At least through the June, July time period and then we'll probably squeeze a couple in after that. But if you look at our -- if we look at the manpower versus the airplanes that are coming up, I would say it's probably used up through August. But we get customers to call and need an airplane down in May or June, we figure out a way to squeeze them in. And so... 
Unknown Analyst: Do you think at this point in time it looks like you can get to or even exceed your previous levels in revenue in the aircraft when things are going pretty well several years ago? 
Craig D. Stewart: We're operating at about that level right now, where we were probably 2.5, 3 years ago. 
Unknown Analyst: And you're doing it with, obviously, a little less expense? 
Craig D. Stewart: Yes. 
Clark D. Stewart: Less people and less expense and more efficient flow, I think. I think that the people are buying in more and more of the program, which is what we have to have. These machines and all the gadgets won't build the stuff. We've got to have people. So people are buying in and they're producing a quality product and very efficiently at this point. So we think that our keeping the team together during the 12-month Butler recession, I guess you would call it, was probably a good idea, and I'm not sure that I thought so at that time. But we kept them together, and I think that paid off in the team. So we're operating at a level that's substantially higher than we were a year ago or even 2 years ago with the same number of people. 
Unknown Analyst: Our friend Tony Pisciotta [ph], I think, had complications today on schedule and asked me to ask a couple of questions, if I may. Anything more or any ideas on, again, either buyback of stock or board members or anybody buying stock. I know you've been concerned about any major news coming out and the conflict there. Is there any more thought on that? It seems like -- I know you mentioned about wanting to buy out perhaps the partners or something that -- is that still a conflict? Or I mean, it just seems to me now is a perfect time for insiders to be buying stock. 
Clark D. Stewart: Well, it is a perfect time except that the last part and most important part of your question, Tim, is still very much functional. How is that? We can't do anything during that time period. 
Unknown Analyst: Okay. So you're still in the same time period that we don't know exactly where it is that we're in that time frame as far as the potential buyout and so forth? 
Clark D. Stewart: You are correct. 
Unknown Analyst: Okay. That's it. And Clark, where do you see yourself maybe starting some promotion with the promotional groups again and so forth? If you -- what has to trigger that in your opinion? 
Clark D. Stewart: I don't know that I have a real answer to that, Tim. I will let Craig express his feelings since he was working with you and the rest of them on how that should be done. 
Craig D. Stewart: Tim, I think we kind of -- I think we're in a position right now where we get another good quarter under our belt, show positive earnings and get through some of the stuff that we're working through relative to our partners in the casino. And then I think at that point, you're looking at the time where you can confidently go out there and meet with shareholders and meet with different investor -- investment groups and those type of people and go out there and really push the future of the company. But I'd want to get -- I'd want to be standing a little firmer in terms of where the numbers are, as well as knowing where we're going with the whole direction of the company here over the next few months. 
Unknown Analyst: Well, basically, to summarize, up to this phone conference and this report, we had been hopeful things would turn around. And now can we say we're quite confident that turnaround is starting and it looks like it will continue for a while? Is that a reasonable assumption? 
Clark D. Stewart: How about this answer, Tim? I am quite confident that we do have a good backlog. I'm also confident that our people are working hard. Our objective, you see, is we still have an $853,000 loss at the end of 9 months for 2014, and we're going to try to see if we can get that to a profit by the end of April. So we're focused on making money and... 
Unknown Analyst: You're saying profit for the whole year then? 
Clark D. Stewart: That's right. If we can it to a break-even or a little profit, we'll figure this quarter has been a real success. 
Unknown Analyst: And it would be hopefully indicative of going into the first quarter and the new fiscal year then? 
Clark D. Stewart: It should be, yes. That's correct. 
Operator: [Operator Instructions] 
Clark D. Stewart: David, did we run out of questions? 
David Drewitz: It looks like it. Are there no further questions? 
Operator: At this time, we have no further questions. 
David Drewitz: Mr. Stewart, do you have any closing statements? 
Clark D. Stewart: Yes, I do. Thank you very much, everyone, for joining the call, spending your time this morning here and listening to Butler National Corporation's best interest and the shareholders' best interest. We thank you for that. And we appreciate all your cooperation, and we hope that we can attain our objective of breaking even or making a little money by the end of the year. So thank you very much for your time. 
David Drewitz: Thank you, everyone, and have a great -- I'm sorry, go ahead. 
Clark D. Stewart: I'm finished. That's fine. 
David Drewitz: Thank you, everyone, and have a great week. 
Operator: This concludes today's conference call. Thank you for attending.